Operator: Greetings. Welcome to Build-A-Bear Workshop, Inc. Third Quarter 2025 Earnings Call. Please note this conference is being recorded. I would now like to turn the conference over to Gary Schnierow with Investor Relations. Thank you. You may begin.
Gary Schnierow: Thank you. Good morning, everyone, and welcome to Build-A-Bear Workshop, Inc.'s third quarter 2025 earnings conference call. With us today are Sharon Price John, Build-A-Bear Workshop, Inc.'s Chief Executive Officer, Christopher Hurt, Chief Operating Officer, and Voin Todorovic, Chief Financial Officer. During this call, we will refer to forward-looking statements that are subject to risks and uncertainties. Actual results could differ materially. Please refer to our forms 10-K and 10-Q, including the risk factors section. We undertake no obligation to update any forward-looking statement. During this call, we will present both GAAP and non-GAAP financial measures. A reconciliation of non-GAAP to GAAP measures is included in today's earnings press release, which is distributed and available to the public through our Investor Relations website. And now I'll turn the call over to Sharon Price John.
Sharon Price John: Thank you, Gary. Good morning, and thanks for joining us for Build-A-Bear Workshop, Inc.'s third quarter fiscal 2025 earnings call. Today, I would like to begin by thanking the entire team for continuing to drive our positive momentum from the first half to deliver year-to-date record revenue and pretax income. Results that reflect the many strategic and operational advancements we have been systematically executing over the past few years. Solid third quarter results coupled with the consistency of the underlying fundamentals give us confidence in reaffirming our full-year guidance inclusive of ongoing tariff headwinds. Based on this guidance, Build-A-Bear Workshop, Inc. is positioned to deliver fiscal 2025 revenue of over half a billion dollars for the first time in the company's history. We believe our year-to-date results and positive outlook underscore the resilience of our evolved and diversified business model. Even as we navigate a challenging macro environment, we remain on track to deliver top-tier store contribution margins for the fifth consecutive year while our asset-light commercial segment is expected to achieve its fourth straight year of growth exceeding 20%. This strong performance reflects our continued efforts to monetize the power, positioning, and equity of the Build-A-Bear Workshop, Inc. brand such as leveraging our multigenerational appeal to expand the addressable market, with teens and adults now representing about 40% of sales. Opening unique experiential retail concepts, new cobranded locations, and scaling through initiatives designed to go beyond our workshop. Like our new mini bins collection. Simply put, we're building on the brand's iconic status to reach more people in more places with more types of products for more occasions. Specifically for the quarter, revenue grew nearly 3% to almost $123 million and pretax income declined $2 million to nearly $11 million, inclusive of about a $4 million negative tariff impact. For the first nine months, revenue grew more than 8% to over $375 million and pretax income increased by 15% to almost $46 million, inclusive of about $5 million in a negative tariff impact. We also returned more than $26 million to shareholders through dividends as well as buybacks, which contributed to more than 24% EPS growth for the first three quarters of the fiscal year. Overall, shareholders have received over $160 million since the beginning of fiscal 2021. If we look toward the final, and most impactful quarter of the year, our primary focus remains on delivering strong 2025 results. At the same time, we continue to advance the long-term strategic initiative that positions us for future success. As a reminder, these priorities have remained consistent over the last few years and include one, expanding and evolving our experiential retail footprint, two, advancing our comprehensive digital transformation, and three, leveraging the powerful equity of the Build-A-Bear Workshop, Inc. brand beyond our workshop while continuing to return capital to shareholders. Now Christopher Hurt, Build-A-Bear Workshop, Inc.'s Chief Operations Officer, who has been an instrumental part of delivering our positive results over the past decade, will share more on expanding our retail footprint.
Christopher Hurt: Thanks, Sharon. We remain committed to bringing our signature workshop experience, the cornerstone of the Build-A-Bear Workshop, Inc. brand, into new markets through a mix of our corporately managed, partner-operated, and franchise business model. This quarter, we made significant progress adding 24 net new experience locations with 70% of those openings outside the United States, bringing our total locations to 651 and extending our reach to 33 countries, underscoring the global appeal of our brand. We also expanded our corporately operated business model in North America with seven new stores, including three in Canada, three in the greater metro areas of New York and Atlanta, plus a return to Puerto Rico in the highly popular Plaza Las Americas mall, where the store opening was well met with tremendous fanfare, as our guests were excited to once again engage with the Build-A-Bear Workshop, Inc. brand. These openings, varying in size and format, reinforce our commitment to high-return opportunities in new markets. Our international partners and franchisees continue to drive growth and expansion with new locations in Colombia, Denmark, Finland, Mexico, New Zealand, Panama, Qatar, South Africa, Sweden, and The UAE. This expansion by our international partners and franchisees further demonstrates the scalability of the brand and our ability to continue to grow our international presence. We ended the quarter with 375 corporately managed stores, 108 franchise locations, and 168 partner-operated locations. Since 2023, we have doubled the number of asset-light partner-operated locations, which now represents more than 25% of our total units. An emphasis on optimizing operations during the busy holiday season, we opened the vast majority of our planned expansion through the first nine months and remain on track to achieve our guidance of at least 60 net new locations this year. We are also excited to share that after a decade, the Build-A-Bear Workshop, Inc. brand reentered Germany in the first part of the fourth quarter with one of our existing European partners, InnerSource. With locations now open in Berlin and Frankfurt, these openings were a tremendous success as guests were thrilled to once again experience the brand in their home market. Additional locations are planned for later in the quarter. This marks another important step in our overall European growth strategy and further strengthens our global footprint by demonstrating international scalability. As a reminder, we opened the first Build-A-Bear Hello Kitty and Friends Workshop in the popular Century City Mall in Los Angeles in November 2024, and it quickly became a successful destination for devoted Sanrio fans, collectors, families, kids of all ages, and even Hello Kitty herself. This one-of-a-kind collaboration made it clear that the experience deserved a broader presence, especially in unique places that attract millions of visitors both domestically and from around the world. As announced this morning, we are expanding the Build-A-Bear Hello Kitty and Friends workshop concept with corporately managed stores opening in early 2026 at two premier malls, American Dream, just outside New York City, and Mall of America in Minneapolis. These cobranded experiential stores will complement our already established Build-A-Bear Workshop at both shopping destinations. As new Build-A-Bear Workshop experience locations open around the globe, we are not only expanding our reach, adding a little more heart to life in more places for more people, positioning Build-A-Bear Workshop, Inc. for sustained global growth.
Sharon Price John: Thank you, Chris. Our workshops and the emotional, memorable experiences they provide remain at the heart of the Build-A-Bear Workshop, Inc. brand. And we're excited about continuing the expansion of our global footprint, especially through our asset-light partner-operated model, which we believe offers a meaningful runway as we bring the Build-A-Bear Workshop, Inc. experience to more markets and consumers around the world. As part of our digital transformation objective, which is focused on driving omnichannel growth, we recently appointed Carmen Flores as the Senior Vice President of Ecommerce and Digital Experiences. Carmen, a seasoned executive having led digital evolution at companies like Mont Blanc and The Lego Group, will partner closely with our brand and technology team to strengthen consumer engagement to drive our digital business through more personalized, seamless interactions powered by technology and AI. Because we know that some of our visitors come to buildabear.com to transact, while others come to find a store and plan a visit, we believe the real unlock for the concept of e-commerce at Build-A-Bear Workshop, Inc. is striking the right balance between e-commerce and e-communication. Over the past few years, we have built a strong infrastructure. And the next step is leveraging it through our people and processes to monetize that investment fully. Our third area is capitalizing on opportunities that leverage our thirty years of multigenerational brand equity for incremental growth. On top of our experience location expansion that Chris discussed, one example of this effort is represented by PreStuffed branded plush that can be sold outside of our workshops in a wide variety of retail environments. While we originally launched our proprietary mini beans in Build-A-Bear Workshop, Inc. as a pilot project, given that we are now approaching 3 million units sold with over 60% growth in the third quarter alone, we believe this highlights the opportunity to drive broader global reach of the brand through thousands of additional points of sale beyond the workshop. In fact, mini beans distribution has already expanded into a number of independent retailers. Specific third quarter highlights include our strong Halloween collection, featuring a new fan favorite poseable bat, that generated over 3 million social views, raising awareness of the entire Halloween offering. You may recall that 2024 had been our best-selling Halloween assortment on record. But we're pleased to share that we saw a double-digit increase in 2025, likely driven by the continued macro interest in the holiday but also from our strong seasonal offering, including our exclusive Hello Kitty and Friends cobranded Halloween characters, further solidifying the power of that special relationship. Separately, on September 9, once again, we positioned Build-A-Bear Workshop, Inc. as the celebrated centerpiece of National Teddy Bear Day, delivering record results on top of all of those fuzzy hugs during a special acknowledgment of the importance of stuffed animals. From a fourth quarter to date perspective, we're pleased to share that we delivered the best Black Friday in the company's history, with momentum improving after a slowdown at the end of the third quarter in October. While some of this shift may reflect external factors, we believe our holiday merchandising and marketing efforts have played a key role in driving our stronger conversion and higher dollars per transaction so far in the quarter. Turning to the holiday strategy, this season, we are offering fun trend animals like gingerbread ocelotls, classics like our timeless teddy and Santa gear, stocking stuffers, including our all-important gift cards, which are key to driving January traffic and sales, seasonal mini beans, and new on-trend bag charms inspired by some of our historical bestsellers. And as always, we are reinforcing Build-A-Bear Workshop, Inc. as an experiential destination. A big part of this strategy is being seen as a part of our guest holiday tradition. That is why our core messaging leverages our centerpiece Merry Mission animated feature film, which this year, celebrates the tenth anniversary of GLSEN, the magical snow deer and heroine of the movie with a limited edition version that really lights up. In closing, it's been a delight to be here in Manhattan this week participating in Giving Tuesday with our value partner, Salesforce and First Book, alongside the Build-A-Bear Foundation to provide books and bears to kids in need. This week's events culminate with today's earnings call from the New York Stock Exchange, where we'll also take part in the annual tree lighting ceremony this evening. Without a doubt, I feel a genuine sense of pride and gratitude for this remarkable organization, our partners, our board, shareholders, and amazing guests around the world, who not only enable us but also share in our mission to add a little more heart to life. And with that, I'll turn the call over to Voin Todorovic. Thank you, Sharon.
Voin Todorovic: And good morning, everyone. I will discuss the quarterly results and then share more about our full-year outlook. We achieved the highest revenue in the company's history for both the third quarter and the first nine months of the year. This was also the highest pretax income for the first nine months. And absent the impact of tariffs, it would have also been a record for third quarter pretax income. These results underscore the durability of our evolved business model and the effectiveness of the strategic initiatives that we have implemented over the past several years. Moving to a more detailed review of our third quarter results. Total revenues were $122.7 million, an increase of 2.7%. As a reminder, this was on top of 11% growth last year. Net retail sales were $112.3 million, an increase of 2.5%. Looking at our direct-to-consumer sales in more detail, we saw solid performance in August and September, followed by a decline in October around the time of the government shutdown. As Sharon mentioned, the fourth quarter to date has shown a positive rebound from October. The quarter overall, store sales were up with a slight transaction decrease driven by a 1% decline in traffic. October also faced a tougher comparison due to a new license introduction last year that benefited traffic. The quarter, domestic store traffic outperformed the national benchmark. Also, dollars per transaction were up. As selected price increases and product mix contributed to higher average unit retail prices. Ecommerce demand declined 10.8% primarily due to challenging comparison driven by strong licensed product plus last year. Timing of web launches also shifted revenue between quarters and as such, on a year-to-date basis, ecommerce demand is down less than 1%. Commercial revenue which primarily represents wholesale sales to our partner operators. Grew 4.2% for the quarter. The timing of shipments negatively impacted our third quarter. However, commercial revenue has increased 15.3% year to date. We continue to expect commercial revenue to grow by more than 20% for the year. Gross margin was 53.7%, a decline of 40 basis points compared to last year. Primarily reflecting the impact of tariffs. Tariffs and related costs reduced gross profit by about $4 million in the quarter. SG&A was $55.3 million or 45.1% of total revenues, compared to 43.3% last year. Higher store level compensation including medical benefits and higher minimum wage requirements, timing of marketing expenses, and general inflationary pressures contributed to the increase. Pretax income of $10.7 million was $2.4 million below last year's $13.1 million. Tariffs and associated costs reduced pretax income by about $4 million. EPS of 62¢ compared to 73¢ last year reflected lower pretax income, a slightly lower income tax rate, and a reduced share count. Although this quarter is the first, to be meaningfully impacted by tariffs, for the first nine months we deliver record revenues and profits resulting in over 24% EPS growth versus last year. We also remain committed to returning capital to shareholders. During the quarter, we returned $13 million through dividends and share repurchases. Bringing our year-to-date total to $26.1 million. We also maintain significant flexibility with about $70 million remaining under our board-approved repurchase authorization. Turning to the balance sheet. At third quarter end, cash and cash equivalents totaled $27.7 million compared to $29 million last year. The company finished the quarter with no borrowing under its revolving credit facility. Inventory at quarter end was $83.3 million. An increase of $12.5 million. The increase was driven by the accelerated purchases to mitigate contemplated changes in tariff rates. As well as the inclusion of tariffs into the cost of inventory. In addition, a portion of the increase was made to support the growth of our commercial segment. We remain comfortable in both the level and composition of our inventory. Which we believe positions us well to meet demand execute our growth strategy for the balance of the year. Turning to the outlook. We are reaffirming our full-year guidance as shared in our in today's press release. At the midpoint of our range, our annual revenue guidance implies about 2% growth in the fourth quarter. As you know, December has historically been the most significant month of the quarter and the year for Build-A-Bear Workshop, Inc. We also continue to expect our commercial segment to grow by more than 20% for the full year. Which implies at least 30% growth in the fourth quarter. Turning to our pretax income guidance. The midpoint implies about $20 million in fourth quarter pretax income. As a reminder, we guided to less than $11 million in tariffs impact for the year. For the first nine months, we recognized about $1 million in the second quarter and roughly $4 million in the third quarter. Which implies a remaining tariff impact of less than $6 million for the last quarter of the year. It is important to note that tariff impact in 2025 reflects only the last seven months of the fiscal year. Additionally, as previously mentioned on our last call, our pretax guidance continues to include approximately $5 million in additional medical and labor costs. Of note, these costs collectively represent a headwind of almost $16 million for the year. In closing, we are pleased with our strong year-to-date performance. As we look ahead our focus remains on executing the company's strategic objectives of expanding the global footprint, accelerating the digital transformation, and leveraging our strong brand equity while delivering consistent value to shareholders through disciplined capital allocation. Finally, I want to extend my sincere thanks to our store and warehouse associates, corporate team members, and valued partners around the world. Their dedication and collaboration were instrumental in delivering a record first nine-month results. As we continue to be on track to achieve our fifth consecutive year of record results. This concludes our prepared remarks. We will now turn the call back over to the operator for questions. Operator?
Operator: Thank you. If you would like to ask a question, please press 1 on your telephone keypad. A confirmation tone will indicate your line is in the queue. One moment while we poll for questions. Our first question is from Eric Beder with SCC Research. Please proceed.
Eric Beder: Good morning.
Sharon Price John: Hi, Eric. Good morning.
Eric Beder: Hi. I'd like to button up on the tariff piece a little bit. So think if tariffs are about $10 million and a little bit of that was in Q2. When we think about next year, you know, what are the opportunities to use this? Because if I sit here and just kind of extrapolate it, so it's kinda, like, about $18 million in tariffs. Impact next year. How should we be thinking about this going forward? And your ability to start mitigating this even further?
Voin Todorovic: I'll take that, Eric. Thank you for your question. As we mentioned on our call, yes, this year we had about seven months of tariff expenses. We believe that's gonna be less than $11 million total. For seven months. As we go into next year, even though we are not providing any guidance on 2026 at this point. There is gonna be additional months, you know, clearly, first five months of next year we'll have some tougher comparison because we are gonna be experiencing tariffs. We continue to work and find ways to mitigate some of the challenges that are caused by tariffs. Even as you've seen in our quarter, this in Q4, we had $4 million of negative tariff impact and our profits only declined at a smaller margin. So we continue to do things that are within our control. We are working with our partners in Asia to reduce our cost. We are looking at ways to selectively increase price where we can to mitigate the offset of this additional cost. We are managing things within our control, such as promotions and discounts, and that's part of the reason even in Q3, we are seeing, you know, a lesser negative impact of these tariffs on financials with our strong margin results. So there are things that we continue to do to manage from the margin perspective. As well as we are looking at things from the overall P&L perspective that are within our control to help mitigate some of those things that we are seeing. Now one of the positive things from the tariff perspective is the administration and that's like the Chinese rates will go from 30 to 20%, next year, so that will be a little bit of a benefit compared to the 30% that we had for a big part of this year.
Sharon Price John: It's also important to realize that, of our strategic initiatives that we have implemented even prior to the tariff situation have been focused on the diversification of the company. And so as Chris noted in some of his comments, we're growing our store count outside the United States, which, you know, are not. For the large part impacted by the tariff situation.
Eric Beder: Great. And I wanna talk about something we've been seeing in our store visits. So one of the things in 2025 has been kind of the I guess, diversification in pricing. In the sense that the mini beans continue to be a great part of the business, and they're about $9 to $10 right now. And on the flip side, we've also seen some higher-priced items expand such as the giant furry friends, and to your point about Glisten, and the Glisten is a limited edition, it's about all remember correctly, it's $100. You know, how where are you seeing kind of the gains from doing these pieces and how is this diversification? Is it bringing in the different customers to the business? And where should we be thinking about that going forward? Thank you.
Sharon Price John: Yeah. Eric, I'll start. Yeah. I mean, we've talked about diversification across numerous fronts over the years. And rethinking beyond just what had been the standard approach to Build-A-Bear Workshop, Inc. because the brand equity is, in our opinion, and a research perspective, is bigger than just the location of Build-A-Bear Workshop, Inc. That's one thing. But the second piece of the diversification is not just the global aspect that I mentioned. But, yes, we have an enormous amount of opportunity we believe, from the multigenerational aspect, which I noted in my comments, 40% of our sales are to teens and adults. That often particularly when it is related to, license some of our key licensed products allows us a lot more pricing latitude. And then we have also had partnerships in the where we've been up in that $100 range before, like a Swarovski relationship that we have. But that latitude, both on the lower end and the higher end, does bring in different types of guests. And we reiterated that in that we believe that we have an opportunity to appeal to more people in more places for more products and more occasions. So while we have mini beans at $10, which are meant to be and, in fact, are manifesting themselves as a collectible, so people tend to buy more than one of those. So it's an and an individual is one is a $10 purchase, but the co you usually are buying more than one. But we also continue to offer at the lowest end our birthday treat there. So we have accessibility to consumers. But, you know, it is our offer we believe that it's an important aspect of our brand. To stretch the limits on, you know, what makes sense and what that is still valuable to the consumer. People love Glisten, so we wanted to try our own collectibles, this year, and our own special limited edition, and thus far, so good.
Eric Beder: Okay. Good luck on the rest of the holiday season.
Sharon Price John: Thanks, Eric.
Operator: Our next question is from Greg Gibas with Northland Securities. Please proceed.
Greg Gibas: Great. Good morning. Thanks for taking the questions. Wondering if you could speak to your promotional activity in the quarter. Was it something that you leaned into a little bit more? Or I guess maybe how would you say it compared year over year?
Voin Todorovic: Well, actually, our promotional activity, we have been managing our discounts and promotional activity much more stringently. And, you know, we are actually seeing lower discount rate in the quarter as we have seen over the last couple of quarters. This is one of those things that we believe it's within our control, and this is one of the ways we are trying to help mitigate the impact of some of these additional costs that are outside of our control. And as a reminder, you know, over many years that we've been with the company, we have done tremendous job of expanding our merchandise margin, managing our margin cost. And being really focused on the experience and driving the overall ticket value versus really trying to drive growth to promotion. Our brand, you know, it's very unique in a way how we are positioned and people are coming to our stores to celebrate their special event. And, you know, we believe, you know, creating the best experience for them, and, you know, upselling and doing things to really enhance that experience is the way for us to both grow the business and deliver strong margin result. This goes in line, you know, as being a destination, and people are coming to celebrate these special events. And over the years, you know, we have we have done, in my opinion, doing a really job managing the margin and expanding over probably a thousand points over the last decade or so.
Greg Gibas: Got it. That's very helpful. And I wanted to ask if you could share anything more about trends that you're seeing with mini bean sales and then, I guess, just overall demand with that product line. And I guess, know, progress with kind of new SKU introductions with that product line as well?
Sharon Price John: Yeah. Well, we're really excited about mini beans for a number of reasons. And I did share in the comments that we were approaching 3 million in sales. And just in this last quarter, we saw a 60% increase. And we are now, and as I mentioned as well, in the early stages, but we're selling mini beans in different retailers outside of the workshop, but also do a lot of our partners where we have partner-operated relationships. So, you know, it's got the map head of a Build-A-Bear, but it's like a Great Wolf Lodge, for example. They offer so many also outside of the United States and some of our partnerships in Europe. But we see this as it's a we create variety with the mini beans. They are collectible. They are seasonal. We bring out new characters. Some of them are based on our favorites from the Build-A-Bear historical collection. We also bring out what we call takedowns of some of the seasonal products that we're doing, and people like to buy those together. But we're also just recently created things with partners. So we're starting to have mini beans with some of our licenses. Which has been extremely successful and very exciting. So Sanrio, as an example, which we mentioned a number of times, the prepared remarks, with Hello Kitty and Friends, just again a tremendous multidimensional partnership for us. Whether that's us creating seasonal products with them or mini beans with them or even new locations. With that partnership. It's been wonderful, and they have such great fans, and the fan base overlap tremendously with Build-A-Bear. So it makes a lot of sense. But we see mini beans as just, you know, it's a proof point in many ways of how we can extend beyond the make-your-own plush. And while we will never remove the destination aspect from the centerpiece in the heart of our company, it how people are often introduced to our brand, and it's where that halo effect comes from. It is important for us to recognize that there is potential beyond that.
Greg Gibas: Yep. That's good to hear. Thanks very much, Sharon. And congrats on the Black Friday.
Sharon Price John: Thank you.
Operator: Our next question is from Steve Silver with Argus Research. Please proceed.
Steve Silver: Thanks, operator, and thanks for taking my questions as well. I had a question about the tie-ins. I know you guys mentioned that you had a presence around the Wicked movie coming out which came out, like, right around Thanksgiving, which may have contributed to the strong results on Black Friday. But I'm just trying to get a sense as to, just broadly speaking, whenever Build-A-Bear Workshop, Inc. is involved with a high-profile movie launch and its high-end kind of thing, whether the sales that those products generate are really more concentrated around the launch of those movies or really what the tail looks like, for how long beyond the launch marketing tends to go, toward these products and how long the contributions extend.
Sharon Price John: Yeah. Thank you. Yeah. So this is actually our second year of Wicked. We had Wicked with the original movie and because, you know, we knew as did many of the partners that that would be a two-year event. So successive years. So it's been great because Wicked was more successful than we expected in the first year, so we were able to prepare a little bit better for this year. And while it is, you know, the tremendous partnership, I really can't look at it and say that's the reason why we drove Black Friday or that's the reason why we're seeing the decreases. That our November trend is based on a much broader assortment than that. But, of course, all of these licenses and everything that we do to appeal to different consumer groups for different purposes and even start growth outside the United States is helpful in the achievement of those objectives in Black Friday. In fact, one of the interesting things about Black Friday is I believe, Eric mentioned earlier, is these jumbos. We had a really great we did do a promotion. We just walked through, like, last week, but we don't. But, I mean, clearly, you have to participate in what the consumer expects on a Black Friday, but very limited promotion on that on the in some ways to introduce people to the aspect of these jumbos, and that that was a big success for us for on Black Friday. But the tale to your question of licensed products particularly related to film, I'm gonna apologize upfront. It's so such a wide variety. They're almost like snowflakes. I mean, there isn't that much of a predictability on exactly how the consumer will react. Now we have a lot more information when it's a sequel like we did with Wicked because and that's an unknown entity. So that that one, we expect, you know, we have a little more latitude and those are a little more stretchy. But you literally you know, unless the film's a big hit, if it's an unknown it's you just you try to calculate and manage your risk on that. We do a pretty good job.
Steve Silver: Okay. I appreciate the color. And one more if I may. It was a very interesting concept, the idea of expanding, to a second Build-A-Bear Workshop, Inc. location in these initial malls, I think you've mentioned, American Dream and Mall of America. So given the fact that those that would then have a multiple presence in some of these large malls, I'm curious as to whether, that plays into any leverage from Build-A-Bear Workshop, Inc. just in terms of lease terms given the existing presence and the contribution that Build-A-Bear Workshop, Inc. has making to some of these locations.
Sharon Price John: Yeah. That's a great question. I mean, obviously, you know, the more revenue you're driving and the more foot traffic you participate or create with any of our great mall partners, you know, it does create another bullet point of communication and possible leverage if you wanna call it that. But, you know, our biggest, I would say, opportunity there is just continuing to work with these partners particularly given that 60, 70, up to 80% depending on how you can think about it or some of our research, of our guests are coming to Build-A-Bear Workshop, Inc. that happens to be in a mall. We're just coming to the mall and, like, stumbling into a Build-A-Bear Workshop, Inc. We that destination-driven marketing and the experience that we provide is now, you know, the hallmark of what most retailers are looking for. You know, we are often credited with being a pioneer in that space, and that's a big asset for us as an organization, as a company. And we realize that, and so do our partners. So, that's probably our largest contribution in many of the discussions that we have with malls is that we believe we're part of the solution, of, people returning to, in-person shopping and mall shopping and at as do our partners. So, which is why we are getting a second location. In two of the biggest, destination-based retail concepts in the United States.
Steve Silver: Great. Sounds exciting. And best of luck as well for the rest of the holiday season.
Operator: Thank you. As a reminder, it is star one on your keypad if you would like to ask a question. Our next question is from Keegan Cox with D. A. Davidson. Please proceed.
Keegan Cox: Good morning.
Voin Todorovic: Morning.
Keegan Cox: Yeah. I was just curious on what you guys said with respect to the slowdown you saw with the government shutdown. I'm just wondering, did you see a trade down from your customer, like a mix shift towards, you know, lower price point products like mini beans? And then kinda continuing on that theme, how that spend shaped on, you know, kids versus kinda your adult customer.
Voin Todorovic: Yeah. So thanks, Keegan, for the question. As you know, as I mentioned in my prepared remarks, definitely, you know, we saw some strength in our business. First, two months of the quarter, then October, you know, we had a little bit of a slowdown in traffic. And, you know, there are a few things that were happening at that time. Know, definitely, there was some noise related by the government shutdown in addition to that, last year, we had an introduction of for us at that time, new license BLUE that performed really well for us and did help drive traffic last year. So that compounded some of the traffic challenges that we were facing this time around. And as we talked about, like, you know, we had, like, a softer finish to the Q3. But, you know, we rebounded in November, and we are seeing some positive momentum. We as Sharon talked about, like, Black Friday in our history. So some of those things, you know, like, it is really difficult to point out, like, specifically what's happening. But, you know, we are seeing growth in mini beans, you know, over 3 million units sold or sorry. Approaching 3 million units sold with that particular property, but in addition to that, we are selling these giants to our consumer, like, in over a $100 price point. So we are getting, like, to a lot of different consumers. And, you know, I don't think that's necessarily impacting us in a negative way. Our dollar per transactions continue to grow, and we are pleased with that. Our conversion is strong. So those are things that we believe are within our control. But, definitely, there are concerns and challenges, you know, when we think from the macro environment and things that we always say, things that are outside of our control, we are trying to mitigate. We are trying to manage, our expenses. And, you know, we still feel good about the guidance that we have provided in the full-year basis to deliver the fifth consecutive record year in our history.
Keegan Cox: Got it. And then I listened to just some of your competitor calls and some Black Friday store checks. You know, they mentioned they're taking share and plush, and I saw that in some stores. I know you guys mostly benchmark against yourself. But as we think about the mini beans opportunity, I mean, what interests you about, you know, fulfilling that product in other retailers and taking on that competition?
Voin Todorovic: Yeah. So definitely, that one of those areas, you know, that when we think about what's happening with our stores, what's happening with mini beans, as I mentioned that we are approaching 3 million units sold in our stores. And that portion of those sales are also in other retail channels. So we are selling some of that to wholesale accounts that's definitely an area of opportunity for us. And, you know, we believe, you know, there is a little white space as we move forward. But, you know, as we about the overall plush sales and everything, I can comment on how, other people and what their performance is. But, you know, I'll again reiterate, it's a fifth consecutive year of record results for us. So year after year, yeah, we continue to beat revenue goals, margin goals. So you know, we are pleased with the progress that we are making. But, you know, there is still some white space for us as we look to the future, especially in the wholesale channels.
Sharon Price John: And I'll just add a little bit to that. I mean, while we're really pleased with our growth from an experiential retail location expansion. I think to 651 locations around the globe now. The expansion into new retail environments that offers up literally thousands of doors that Build-A-Bear Workshop, Inc. would otherwise not have a presence in where it's not necessary to go through the experience that created us. But because that experience is so emotional and so memorable, it creates a halo effect. It's that brand, then the brand equity stretches beyond the workshop walls. And mini beans is an example of that. In that they are people understand that is gonna be a quality product. They think of it as the it has the branded equity with it. So it's not just another plush on the shelf. It's Build-A-Bear Workshop, Inc. So when you think about what is the essence of the competition, well, we believe that the mini beans carry that branded aspect. That would that benefits it in that space, and we are seeing that from the early sales, both, of course, but inside the Build-A-Bear Workshop, Inc., as I noted, but in some of the early stages of outside of the workshop as well.
Operator: Thank you. There are no further questions at this time. I would like to turn the conference back over to Sharon Price John for closing remarks.
Sharon Price John: Thank you for being on the call today, and we certainly appreciate everyone joining us. To hear our third quarter results and look forward to sharing our fourth quarter results with you next year. In closing, we wish you and your families a very happy holiday and a wonderful New Year. Thank you.
Operator: This will conclude today's conference. You may disconnect at this time, and thank you for your participation.